Operator: Good morning, everyone. Welcome to the Shyft Group's First Quarter and Full-Year 2022 Conference Call and Webcast. All participants will be in a listen-only mode until the question-and-answer session of the conference call. [Operator instructions] I'd now like to introduce Randy Wilson, Vice President, Investor Relations and Treasury of the Shyft Group. Mr. Wilson, you may proceed.
Randy Wilson: Thank you for joining this morning's call. I'm joined by Daryl Adams, President and Chief Executive Officer; and Jon Douyard, Chief Financial Officer. Their prepared remarks will be followed by a question-and-answer session. For today's call, we've included a presentation deck that's been filed with the SEC, and is also available on our website. Before we begin, please turn to Slide 2 of the presentation for a Safe Harbor statement. Today's conference call contains forward-looking statements, which are subject to risks that could cause actual results to be materially different from those expressed or implied. Primary risks that management believes could materially affect our results are identified in our Forms 10-K and 10-Q filed with the SEC. We will be discussing non-GAAP information and performance measures we believe are useful in evaluating the company's operating performance. During today's call, we will provide a business update before moving on to a more detailed review of the results and our 2023 outlook. We will then open the line for Q&A. Please turn to Slide 3, and I'll turn it over to Daryl Adams.
Daryl Adams: Thank you, Randy, and good morning, everyone. Overall, the Shyft Group had a solid start to the year, delivered improved financial performance, while continuing to deliver on our strategy and long-term growth initiatives. Our team achieved 18% sales growth led by another record quarter in our service body business and improved performance in Fleet Vehicles and Services. Our ability to increase output enabled us to improve profitability by over $11 million versus the first quarter of last year. In addition, we delivered positive operating cash flow in the quarter and brought in nearly $34 million more than prior year, which allowed us to efficiently deploy capital. We continue to make great progress on our Blue Arc electric vehicle program in the quarter. We were very pleased to announce that not only did we achieve CARB and EPA certification for our Class 3, 4 and 5 EV delivery vehicles. What we did so with performance that more than exceeds our fleet customers' needs. The CARB test results for our Class 3 vehicle included a 225 mile city range and over a 200 mile combined city highway range, which can more than comfortably handle a daily delivery route. I would also like to take a moment to highlight a fantastic addition to the Shyft Group as John Dunn joined the company in January as our Fleet Vehicles & Services President. He is a proven leader in manufacturing and customer relations and product development and has made an immediate impact with our employees, customers and suppliers. Turning to Slide 4. Over the past five years, we have strategically moved the company for last mile delivery and infrastructure-focused specialty vehicles. We remain confident in these end markets and how the company is positioned to win over the long term. Consistent with our commentary in February, the market and macroeconomic environment remains dynamic. I will take you through how that looks by segment starting with the Fleet Vehicles & Services. We continue to analyze the parcel market, including performing independent market surveys, monitoring customer announcements and reviewing published industry reports. The consensus is clear. After an acceleration, driven by the COVID pandemic and subsequent pause in e-commerce penetration, the industry growth rate is expected to be in the mid- to high single-digit range for the foreseeable future, driven by the secular shift to e-commerce. As a leader in this space, we are well positioned to benefit from this growth. As the operating environment unfolds in the near term, we continue to hear mixed feedback from our fleet operators, dealers and suppliers. While certain fleet operators are looking to accelerate fleet replacement, others are still working to deploy vehicles from purchases made during COVID, or working through efficiency actions given economic uncertainties. We remain close to our customers to support their fleet needs during this time, but remain cautious given these market signals. We remain flexible in our operations, and we'll take the appropriate cost actions required to balance the efficiency and growth. As we have previously communicated, the backlog in FVS continues to normalize from the higher levels that we saw during COVID, driven by the improvement in production rates and supply chain. FVS ended the quarter with a backlog of $585 million, which is still elevated compared to pre-COVID levels. Moving to Specialty Vehicles. Continued investment in infrastructure supported by federal government spending is bolstering demand for Work Trucks with funding across end-markets including transportation, power and grid enhancements and other critical infrastructure needs. As projects begin, contractors fleet operators are investing in their fleet to meet demand. Sales of our Work Truck products were up 22% year-over-year, delivering above market growth and demonstrating strong customer demand. Turning to our Motorhome Chassis business. We like many others have previously communicated overall softness in the RV market. While the Class A diesel segment is less cyclical, we have experienced declines as well. Our market share continues to remain strong and has been trending favorably demonstrating the value of our product innovations and quality. Overall, the Shyft Group continues to have industry-leading brands that are well positioned to win in the markets we serve. We remain confident in our team's ability to execute in these dynamic times, deliver for our customers and achieve our long-term financial targets. I will now share some exciting developments underway in our FVS and SV businesses. Please turn to Slide 5. Starting with the FVS highlights. As discussed earlier, we have seen certain delivery customers accelerate investment in fleet replenishment. We are excited to have been awarded a commercial off the shelf contract for over 18,000 cargo van update, split between Ford E-Transit and Ram Promaster. We expect deliveries to begin in mid-2023 and into 2024. This win demonstrates our position as a trusted industry partner and reflects our ability to deliver a highly quality product at high volumes. Moving to our SV highlights. We've been successful in our service body geographic expansion and continue to execute our strategy of being a leading national provider. Consistent with this strategy, we recently announced the opening of our new Tennessee location, which will serve as a hub for opening Royal, DuraMag, Magnum and Strobes products. This location provides direct access to the -- one of the fastest growing regions in the country and enabled us to secure additional OEM chassis course, which will help accelerate our growth in an already strong confirming business. Turning to Slide 6, I'll provide an update on our Blue Arc EV development program. It made great progress in the first quarter and we're on track with our original development timeline, which has helped starting vehicle production in the second half of the year. At the NTA Work Truck Show in March, we saw a significant interest from customers, dealers and other industry partners. We also successfully hosted numerous future customers as part of our ride and drive. This positive response emphasizes that our Blue Arc EVs are differentiated within the commercial electric vehicle industry, both for their design and the performance. In the first quarter, the fact that we achieved CARB approval positions the previously disclosed -- discussed pre-order with Randy Marion to a firm commitment. The team remains excited about our progress. We continue to work with them on finalizing specifications for their first deliveries. We also made solid progress with our production facility and remain on track for manufacturing readiness. We continue to have positive momentum, both operationally and commercially. In the coming months, we expect to deliver on key milestones, including delivery of our first test units to key customers, expansion of our national dealer and service network and commencement of pilot and production vehicle builds. We are proud of the progress we have made and we have efficiently executed this program and look forward to providing updates on future calls. With that, I will now turn the call over to John to discuss our first quarter financial results.
Jon Douyard: Thank you, Daryl, and good morning, everyone. Please turn to Slide 8, and I'll provide an overview of our financial results for the first quarter. As we anticipated, our team performed well in this dynamic environment, delivering solid sales growth and significant improvement in profitability after a challenging start last year. Sales for the first quarter were $243.4 million, up 17.7% from the year ago quarter. The year-over-year improvement reflects strong service body and truck body performance and improved chassis supply in our walk-in van and upfit product line. Net income was $1.7 million or $0.05 per share compared to a net loss of $3.9 million or $0.11 per share in the previous year. We improved adjusted EBITDA to $10.8 million or 4.4% of sales, up from a loss of $0.6 million or negative 0.3% of sales in the first quarter of 2022. These results include EV spend of $8.5 million, up $4.1 million from the prior year. Excluding EV spend, adjusted EBITDA was 7.9% of sales, up 610 basis points year-over-year. Adjusted net income improved to $4.3 million compared to a loss of $2.1 million in the year ago quarter, while adjusted EPS grew to $0.12 per share from a loss of $0.06 per share last year. I'll now walk through our first quarter results by operating segment, beginning with Fleet Vehicles & Services on Slide 9. The team delivered improved performance year-over-year as we saw the benefits from prior year truck body expansion efforts as well as higher production output, driven by healthier chassis supply. While margins did significantly improve year-over-year, we do continue to experience inefficiencies as we work through the impact of supply chain challenges. FVS achieved sales of $159.4 million, up 41.5% compared to $112.7 million a year ago. FVS' adjusted EBITDA was $12.5 million versus a loss of $0.9 million a year ago. Adjusted EBITDA margin was 7.8% of sales compared to a loss of 0.8% of sales in the first quarter last year. Please turn to Slide 10 for the Specialty Vehicles first quarter results. Our Specialty Vehicles business continues to perform well, despite the softness in the Motorhome Chassis business. The team delivered our third consecutive quarter of adjusted EBITDA margin of more than 15%, driven by strong operating and commercial performance in our Work Truck businesses. First quarter sales were $87.2 million, a 7.4% decrease from $94.2 million in the prior year. Adjusted EBITDA was $13.9 million or 15.9% of sales compared to $10.1 million or 10.7% of sales in the same period last year, reflecting strong operational performance and the impact of improved price and mix. Please turn to Slide 11 for our 2023 outlook. We're pleased with our overall start to the year and the underlying performance in our business despite an uncertain operating environment. We delivered first quarter performance that was in line with our expectations. And as we look to the balance of the year, we are reaffirming our full-year guidance. We remain cautious on demand in the broader economy and are taking appropriate actions to remain focused on both cost efficiency and growth. Our 2023 outlook is as follows. Sales to be in the range of $1 billion to $1.2 billion, adjusted EBITDA of $70 million to $100 million, representing 20% growth at the midpoint, adjusted EPS of $0.98 per share to $1.60 per share with shares outstanding of approximately $35.8 million, which includes the reduction in shares given recent stock repurchases. And finally, free cash flow conversion as a percentage of net income expected to be greater than 100%, as we drive down working capital. Please turn to the capital allocation slide on Slide 12. Overall, our balance sheet remains strong and we were able to maintain an overall net leverage ratio of 0.9 times, while investing in the business and returning capital to shareholders in the quarter. After delivering strong cash flow generation to end 2022, we generated $5.9 million of operating cash in the first quarter demonstrating significant year-over-year improvement. Further progress on reducing working capital remains a key focus area for the Company. Shyft's organic investment priority is a development in launch of the Blue ARC EV. As we ramp up production levels in the coming years, Blue ARC is expected to be a significant earnings contributor and deliver favorable returns. We remain flexible and other capital deployment, and while we continue to evaluate M&A, we're also focused on returning capital to our shareholders when appropriate, as evidenced by the $10.7 million deployed in the first quarter through repurchases and dividends. In closing, we are committed to generating cash flow and maintaining a robust balance sheet to support strategic investments, future growth and efficient returns to shareholders. Now, I'll turn the call back to Daryl for closing remarks.
Daryl Adams: Thank you, Jon. Please turn to Slide 13. As the Shyft Group, we have created a compelling industrial growth Company. Our priority starts with a culture of customer focus innovation. We're driving operational excellence across the Company. And our financial strength, allows us to invest in long-term growth and deliver returns ahead of our peers. We have the right people and processes in place to execute our strategy. I am proud of the dedication and agility of our team members as they remain focused on delivering value for our customers and shareholders. I'd like to conclude today's call by announcing that Todd Heavin, our COO, who joined the Shyft Group four years ago, has recently communicated his intent to retire mid-year, and we're working on an orderly transition. Since joining Shyft in 2019, Todd has been instrumental in laying the foundation and progressing lean and operational excellence across the company. Over the last several years we have built out the depth of our operational experience across our businesses, and we will look to these leaders to drive our continuous improvement journey going forward. I value Todd's insight and we'd like to wish him well in retirement. Operator, we're now ready for the Q&A portion of the call.
Operator: And at this time, we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Felix Boeschen of Raymond James. Please go ahead with your question.
Felix Boeschen: Hey, good morning everybody.
Daryl Adams: Good morning, Felix.
Felix Boeschen: Hey, first of all, congrats on the upfit contract. I'm curious if you could talk about that. Just curious if you could maybe comment on the aggregate revenue impact of the 18,500 units. And also if you could comment on the timing -- I know mid-2023 start. I'm just curious if -- if it's going to be all wrapped up by the end of 2024?
Jon Douyard: Yes, Felix, this is John. I think when we look at that -- that contract, think about an uplift for us is -- mid-single digit thousands of revenues, you're talking north of $70 million from that perspective, which is an exciting win for the team as we continue to support the customer and carry on the long relationship that we've had there. I think as we look at timing, we mentioned that it's across two different platforms, both the E-Transit as well as the RAM ProMaster. Those will be -- there's a bit of a sort of timing sequence from that perspective, but we expect to begin production mid-year. There will be a portion of that does extend into 2024 though, but we are extremely excited about the wind and the opportunity. Our team did a fantastic job being able to secure that.
Felix Boeschen: Okay. Got it. That's helpful and then just on the backlog, I know that's a down bit. But I just wanted to clarify -- it does not yet include any of the EV preorders. And then just bigger picture, just curious if you could talk about how you're thinking about opening those Blue Arc order book, just given the anticipated production start here.
Jon Douyard: Yes. I think, from a Blue Arc perspective, I mean, we continue to see demand as Daryl talked about in his comments the high level of demand and interest from the customer base. We continue to work through building out the dealer network as well as working with key customers and getting vehicles in their hands here, which we expect to do in the second quarter. When you look at the backlog to your point, it does not include the order that we have secured from -- the committed order from Randy Marion that we previously discussed. Our intent here at this time is to really continue to report backlog from our legacy business perspective. But as we look at Blue Arc, really talk about vehicle commitments, and a piece of that is really because it's tied to our overall production levels. And so, we've talked previously about ramping the 3,000 units here by 2025. And so, putting an order in there that's multi-years from a dollar perspective, we don't necessarily need or want to artificially inflate the backlog and we think production is actually a better representation of what future sales will look like versus a multiyear order. So again, vehicle -- we'll talk vehicle commitments and then continue to talk backlog in our legacy business.
Felix Boeschen: Got it. Understood. I appreciate the time. I'll pass it on.
Jon Douyard: Thank you.
Daryl Adams: Thank you.
Operator: Our next question comes from Mike Shlisky of D.A. Davidson. Please go ahead with your question.
Michael Shlisky: Good morning and thanks for taking my question. Wanted to start off with a quick follow-up on the off the shelf if it does [indiscernible] or that we've been talking about so far on the call. Is that the kind of order where you take ownership of the chassis that you had in previous large orders at this type? Or is your typical upfit order, where you able to just build on top of an existing investment hit your balance sheet or P&L?
Daryl Adams: Again, good, great question, Mike. Good morning. This is a traditional uptick contract where we're not taking possession of the chassis. It's just our content and labor that's going into these vehicles.
Michael Shlisky: Great. Outstanding. Your comments Daryl on FVS or the farm oil business being a mid to high single-digit kind of industry growth rate in the foreseeable future. Is that roughly in line what you expect the actual FVS business to go over a long period of time here? Or do you have other Blue Arc, any kind of market share initiatives? Or other ways you can outgrow or perhaps underperform that that growth rate here?
Daryl Adams: Yeah, good question, Mike. So, in the parcel delivery space, yeah, we're comfortable with the mid to high single-digit number. I think what can accelerate the growth of FVS would be the truck body business as we continue to see nice orders come in on that. And that's something that we jump back into a couple of years ago and seeing good order intake and customers excited about our products. So, longer term, I think that might add a little bit more to it to bump it up a percentage two or so. But the main driver, as you know, in FVS, is the mature business is the parcel delivery.
Michael Shlisky: Got it. Thanks for that. And then looking at Specialty Vehicles real quick, do you expect the good margins there to continue for the foreseeable future, given the strong environment for demand? Can you just give some of the drivers there? Is just volumes or do you have some supply chain improvements you can point to as well on that one -- on that segment?
Daryl Adams: Yeah. As we talked about on in the prepared remarks, we've seen three fantastic quarters in a row delivering north of 15%. I think, as we look at that business forward, the team has done a really nice job, particularly on the work truck side of the business, service bodies and the like driving price as well as efficiencies in the factories. And so continue to see strong demand, I think, and certainly can -- we expect to continue to see momentum from that perspective. And like we said, the team has done a great job both commercially and operationally position that business and continue to move forward.
Michael Shlisky: Got it. I want to squeeze one last one in here, if I could. The guidance being pretty much unchanged, it's still a pretty wide window now that we're through the way through the year already. Can you maybe just review the big question you're ready to answer before you narrow that guidance, I know the low high or middle of the range here?
Daryl Adams: Yeah, I mean I think when you look at how we've guided the year, on our last call, we talked about doing mid-single digits in the first quarter, which we just delivered. We talked about roughly 30% of the year in the first half, which is still in line with our expectations. I think as we look to the second half of the year, we want to make sure that we understand what the demand side of things will look like before we solidify it. I think filling in with -- filling in our sales with the US -- with the off the shelf order that we talked about earlier, the upfit order, things like that. I think there's a couple different dynamics there from a lever perspective that would give us -- put us in a position to narrow the guidance.
Michael Shlisky: Great. Appreciate the answers. I'll leave it there. Thank you.
Jon Douyard: Thank Mike.
Daryl Adams: Thanks Mike.
Operator: Our next question comes from Greg Lewis from BTIG. Please go ahead with your question.
Greg Lewis: Yeah. Hi. Thank you and good morning everybody. Thanks for taking my question. Daryl, I was hoping maybe for a little bit more color on those comments around the mix demand. I mean you touched on it with some of the existing fleet being squeezing out efficiency. Could you maybe talk about the opportunity for Shyft as some of these companies, some of your customers, kind of are in the process of basically trying to extract some more value out of -- some of their legacy vehicles?
Daryl Adams: Yeah, I think -- good question, Greg. I think it's maybe a little early to put a pin in anything certain. But I think when you think about efficiencies, right, I mean, I'm sure you're reading the same articles we are. But maybe if you look at a different way, efficiency could also be maybe getting rid of some of their older vehicles and moving to more fuel efficient vehicles, which we would have -- if they choose to do that, we would have our Velocity vehicle, which gets a double the fuel efficiency of a typical walk-in van, in the cargo space is slightly smaller. So that's one option that our sales guys talk to them about. But I think it's too early, they're still trying to figure out, especially if you look at the FedEx Express -- the FedEx Ground articles that have been out in the press right. They're just on the start of a new project called Drive. So we are -- rest assured that we are sitting in meetings with them, understanding and staying close and offering the products that we have to help them become more efficient. And we've been great partners in the past and expect it to continue.
Greg Lewis: Okay. Great. And then just real quick on the -- we're going to keep the EV ARC out of -- I'm sorry, we're going to keep the -- we're going to keep it out of the backlog, but as we think about that normalization of the backlog, is there kind of -- how should we be thinking about that run rate of kind of normalized just so -- yeah.
Daryl Adams: Yeah. I think when you -- when you look at where this business historically operated, it's in the four-month to six-month range. And so, as you look at next 12 months revenue, historically, we would have had call it 45%, 50% of that in backlog. We're still north of 60%. If you -- and if you look at our 2023 guidance extend that. And so we would expect, as we've said consistently, to see that normalize here over the next couple of quarters. It's probably -- Q3 maybe later in Q3 and Q4. But our view on where we are and our comfort with that hasn't necessarily changed. And so we expect to see that play itself out within the year.
Greg Lewis: Okay. Perfect. Thank you very much for the time.
Daryl Adams: Thanks, Greg.
Operator: Our next question comes from Steve Dyer from Craig-Hallum. Please go ahead with your question.
Steve Dyer: Thanks. Good morning guys. I may have missed this. The SV segment, really fantastic margins but they've been in a long time. Was there anything specific to drove that? Is that just mix within the segment or was there anything particular to call out?
Jon Douyard: I think, it's certainly a little bit of mix. We talked about some motorhome softness in there, but I think really just strong performance within our service body Work Truck businesses, both from a pricing and growth perspective as well as just driving efficiencies in the factories.
Steve Dyer: Got it. The 18,500 upfits, you've talked quite a bit about it. Is that a new customer? Is that just one customer? Any other color you can sort of give around that to frame that up?
Jon Douyard: Yeah. Single customer that we've been a partner with for decades. And so, really a good opportunity for us as they look to replenish a legacy fleet for us to step in and provide upfit content, which we've been doing over the last -- the last number of years. And so really just a continuation of that again. Again I think Daryl talked about both from a quality perspective, as well as our ability to just deliver at high volumes, we think is a differentiator for us. And we're happy with that business.
Steve Dyer: Okay. The rest of mine have been answered. Thanks guys.
Jon Douyard: Thanks, Steve.
Daryl Adams: Thank you.
Operator: [Operator Instructions] Our next question comes from Matt Koranda from Roth MKM. Please go ahead with your question.
Matt Koranda: Hey guys, good morning. I just wanted to ask more pointed --
Daryl Adams: Good morning.
Matt Koranda: Good morning guys. I just wanted to ask more pointed question on the philosophy around guidance, I guess. No change to the range that you provided despite a pretty big upfit win. Just curious if there's something specific that you can point to that offset that incremental revenue within 2023? Or is it just a more general tone of caution that you have sort of the overall environment?
Daryl Adams: Yeah, Matt, this is Daryl. I think it's the latter that you brought up, right, is there are still a lot of moving parts. We're excited about the order. It's definitely going to help move the needle. But there's still some uncertainty that we continue to hear about. And like I mentioned that in earlier call, we still early in the process of our traditional customers trying to figure out how they're going to be more efficient or what actions are going to take to be more efficient. So it's just still haven't cautious though seeing some different comments coming in from even different one -- different customers recently in the news. So we're just being cautious on that.
Matt Koranda: Okay. Fair enough. And then just on the margin profile, the upfit business, specifically, if I could. I guess historically upfit has been accretive to the margin profile of FVS. Should we expect anything different on that front with this particular piece of business?
Jon Douyard: No, not necessarily. I mean I would say if you look at the upfit business, in general, it's a bit shorter cycle of the business. And so as you -- if they up backlogs four months to six months, it's typically on the shorter end of that. And so when we gave guidance back in February, we had assumed some level of upfit business for the year. This obviously fill that in. And so it's not -- I wouldn't view it as completely incremental. I think it's sort of solidifies that upfit assumption. But again, it's a great opportunity for us and, I think positions us well.
Matt Koranda: Okay. Got it. And then, curious on FVS, where should backlog normalize like either, if you want to characterize it in the form of like quarters, months, however you want to characterize it, would be curious to get your take on where FVS backlog should normalize over the next quarter or so? And then, what does that mean for near-term order flow?
Jon Douyard: Yeah. I mean, I think, as you -- I mean, it would be tough to pinpoint a number there just because given there's a number of valid variables. But I think, like we said, we expect it to normalize here over the next couple of months. I think if you look really over the last four quarters or so, we've had modest orders in that business coming off that record high backlog. I think we expect that to continue here in the near-term until it normalizes and then see some activity from that perspective.
Matt Koranda: Okay. Fair enough. And then just last one from me on Blue Arc. Just wanted to get a specific sort of some color, I guess on an update with customer testing, how that's going? Do you have vehicles now in the field? Maybe you could just speak specifically to how that's progressing?
Daryl Adams: Yeah, Matt. This is Daryl. Customers do not have the vehicles in their hands, yet we're still working through development testing. And the big milestone that we have to achieve is the brake testing, which will give us ABS, so that when customers have the vehicles, certified to be safe. And we expect that to happen later in this quarter.
Matt Koranda: Okay. Great. I'll jump back in queue, guys. Thank you.
Daryl Adams: Thank you.
Jon Douyard: Thanks Matt.
Operator: And ladies and gentlemen, with that, we'll conclude today's question and answer session. I'd like to turn the floor back over to Randy Wilson, for any closing remarks.
Randy Wilson: Thank you. And I'd like to thank everyone for participating today's conference call and your interest in the Shyft Group. Over the coming weeks, we will be hosting one-on-one investor meeting at the Advanced Clean Transportation Expo in Anaheim and as well the 20th Annual Craig-Hallum Institutional Investor Conference in Minneapolis. With that, operator, please disconnect the call.
Operator: Ladies and gentlemen, the call has now concluded. We thank you for joining. You may now disconnect your lines.